Operator: Good morning. My name is Jennifer and I will be your conference facilitator today. At this time, I would like to welcome everyone to the American Axle & Manufacturing Second Quarter 2018 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. As a reminder, today's call is being recorded. I would now like to turn the call over to Mr. Jason Parsons, Director of Investor Relations. Please go ahead, Mr. Parsons.
Jason P. Parsons - American Axle & Manufacturing Holdings, Inc.: Thanks, Jennifer, and good morning. I would like to welcome everyone who is joining us on AAM's second quarter 2018 earnings call. Earlier this morning, we released our second quarter 2018 earnings announcement. You can access this announcement on the Investor Relations page of our website, www.aam.com, and through the PR Newswire services. You can also find supplemental slides for this conference call on the investor page of our website as well. To listen to a replay of this call, you can dial 1-855-859-2056, reservation number 4958648. This replay will be available beginning at 1:00 PM today through 11:59 PM Eastern Time, August 11. Before we begin, I would like to remind everyone that the matters discussed in this call may contain comments and forward-looking statements subject to risks and uncertainties which cannot be predicted or quantified, and which may cause future activities and results of operations to differ materially from those discussed. For additional information, we ask that you refer to our filings with the Securities and Exchange Commission. Also, during this call, we will refer to certain non-GAAP financial measures. Information regarding these non-GAAP measures, as well a reconciliation of these non-GAAP measures to GAAP financial information is available on our website. Over the next few months, we'll participate in the following conferences: The J.P. Morgan Automotive Conference (sic) [Annual Auto Conference] on August 8, the Guggenheim Autos Assembly Conference on September 5, the 2018 RBC Capital Markets Global Industrials Conference on September 6, the Morgan Stanley Laguna Conference on September 12, and the Buckingham Research Group 2018 Industrials Conference on September 20. In addition, we are always happy to host investors at any of our facilities. Please feel free to contact me to schedule a visit. With that, let me turn things over to AAM's Chairman and Chief Executive Officer, David Dauch.
David C. Dauch - American Axle & Manufacturing Holdings, Inc.: Thank you, Jason, and good morning to everyone. Joining me on the call today is Mike Simonte, AAM's President; and Chris May, AAM's Vice President and Chief Financial Officer. To begin my comments today, I'll provide some highlights of AAM's second quarter. AAM's sales were another quarterly record of $1.9 billion for the second quarter of 2018, a moderate increase compared to $1.76 billion in the second quarter of 2017. The second quarter also represented another strong performance for AAM as it relates to profitability. Adjusted EBITDA for the second quarter of 2018 was also a quarterly record of $347.9 million or 18.3% of sales. This compared to an adjusted EBITDA of $325.8 million in the second quarter of 2017. Adjusted earnings per share for the second quarter of 2018 increased 24% to $1.23 as compared to $0.99 in the second quarter of 2017. AAM clearly continues to benefit from strong customer demand trends in the key products and markets that we support, a new business backlog that is coming in at a margin profile that's at the high end of the 20% to 25% that we expected, and the integration and synergy attainment activities that continue to go very well for us. From a cash flow perspective, AAM generated over $100 million of adjusted free cash flow in the second quarter. As a result of delivering strong EBITDA performance and free cash flow generation, AAM reduced its net leverage ratio to 2.8 times as of June 30, 2018. We also utilized our free cash flow generation, as well as our proceeds from the sale of AAM's Powertrain aftermarket business, to prepay $100 million of debt in the second quarter of 2018. We continue to make progress on our key objectives as it relates to de-levering the business on both a gross and a net basis. Let's now discuss our business unit segment performance. The Driveline business unit recorded sales of $1.12 billion in the second quarter of 2018 compared to $1.02 billion in the second quarter of 2017. Segment adjusted EBITDA for the second quarter of 2018 was $184.9 million compared to $179 million in (4:58-5:00). AAM's Driveline business unit benefited from our strong new business backlog and other volume and mix factors, which more than offset lower Ram Heavy Duty production due to program change over related (5:12) activities. We did continue to experience higher year-over-year product expenses in the second quarter 2018 through significant launch activity that I'll discuss a little bit later. We would expect to see these expenses decrease in the second half of 2018. The Metal Forming business unit recorded sales of $397.1 million in the second quarter of 2018 compared to $369.3 million in the second quarter 2017. Segment adjusted EBITDA for the quarter was $89.1 million in 2018 compared to $69.4 million in 2017. This business unit continues to perform extremely well and also benefited from a little foreign exchange gain in the quarter. And the Powertrain business unit recorded $288.3 million of sales in the second quarter 2018 compared to $283.6 million in the second quarter of 2017. Segment adjusted EBITDA in the quarter was $47 million in 2018 compared to $51.9 million in 2017. The Powertrain group is currently undergoing a significant amount of new launches in the transmission and engine program area. Our Powertrain business unit also completed a successful divestment of its aftermarket business during the second quarter of 2018, which provided cash proceeds of nearly $50 million in the quarter and assisted our debt reduction activities. AAM's Casting business unit recorded sales of $243.2 million in the second quarter of 2018 compared to $225.6 million in 2017. Segment adjusted EBITDA in the quarter was $26.9 million in 2018 compared to $25.5 million in 2017. Our Casting business continued to see sequential adjusted EBITDA margin enhancements from its performance improvement actions and met its target of double-digit margins in the second quarter of 2018 with a segment adjusted EBITDA of 11.1% of sales. Let me now provide a brief update on our synergy attainment progress, which you can see on slide 5 of the earnings call presentation. Back at our Investor Day in June, we reaffirmed our target of $120 million of cost reduction synergies by first quarter of 2019 and increased our total synergy target to $140 million by 2020. As we close out the month of July, we have currently attained synergies that on an annualized run rate basis amount to approximately $92 million. We continue to be right on track with our updated targets, and we are very pleased with the progress we have made on integration and synergy achievement in just over a year's period of time. Before I move on to the 2018 financial outlook, let me give you an update on our key launch activity for the year. 2018 is a very important year of launch for AAM not only with the number of launches, but in the size, scale, and key products that are involved. In 2018, we have 60 different program and product launches. We have key replacement program launches, such as the GM full-sized truck and also the RAM Heavy Duty program. We also have many new program launches, such as our first e-AAM electric drive unit that currently is in the launch stage right now in our Świdnica, Poland facility; power transfer units for the Ford Edge and Lincoln Nautilus and Cadillac XT4 programs; high-performance independent rear axles for AMG Mercedes in Europe; and, global powertrain component launches for several customers across the globe. We are certainly laser-focused on supporting our customers globally through flawless and anonymous launches of these programs. We have made great progress in the first half of 2018, completing more than half of these launches, and look to continue that performance through the rest of the year in 2019. Let me now review our 2018 financial outlook. We provided an update to our 2018 financial outlook in the earnings release that we published this morning. First, we increased our sales target in 2018 to be in the range of $7.2 billion to $7.25 billion. This increase relates to higher than anticipated metal market customer pass-throughs and additional customer direct-to-buy content in certain global commercial vehicles. Because these factors increased sales, but do not have a significant impact on profit dollars, they do impact the adjusted EBITDA margin calculation. Therefore, we tightened our 2018 adjusted EBITDA margin target to the range of 17.5% to 17.75%. We view these updates to be a net-neutral and reflect very effective right management through important commercial arrangements with our customers. We are still projecting record sales and adjusted EBITDA for the full-year of 2018. And importantly, we continue to target adjusted free cash of appropriately 5% of sales, representing a very strong free cash flow yield for AAM. While there are many macro concerns and uncertainties today that impact the valuation of our company, AAM remains focused on managing what we can control and delivering outstanding results for all of our key stakeholders. As I've said multiple times over the last several years, we are in the sweet spot of the market with pickups, SUVs and crossover vehicles as they continue to gain market share globally. Meanwhile, we have also positioned ourselves extremely well to deal with the shifts in powertrains to multi-speed transmission, downsized engines, and yes, the emergence of hybridization and electrification. We are very pleased with where we stand here at the midpoint of the year and are confident about our ability to finish the year extremely strong. This concludes my prepared comments for this morning. I thank everyone for your attention today and for your continued interest in AAM. I will now turn it over to Chris. Chris?
Christopher John May - American Axle & Manufacturing Holdings, Inc.: Thank you, David, and good morning, everyone. I will cover the financial details of our second quarter of 2018 results with you today. I will also refer to the earnings slide deck as part of my prepared comments. So, let's go ahead and get started with sales. Sales increased by $143 million, or over 8% on a year-over-year basis, to a record $1.9 billion. Slide 8, on the walk down of the second quarter – slide 8 shows a walk down of the second quarter of 2017 sales to the second quarter of 2018 sales. In the second quarter, our sales were impacted by lower Ram HD volumes due to a planned assembly plant shutdown as FCA prepares for its upcoming new product launch. However, we more than offset that impact to the realization of our backlog and other volume and mix factors, including higher Jeep Cherokee production that features our EcoTrac all-wheel drive systems and revenues for our electric driveline systems that begin production in the second quarter of 2018. As has been a consistent theme in our results, as well as many of our peers over the last couple of quarters, increases in metal market price and related customer pass-throughs and FX have impacted sales for the quarter. These items added $39 million of revenue on a year-over-year basis. We also experienced our normal customer price down activity for the quarter. All in all, this was another very strong sales quarter for AAM, showing solid organic growth despite some downtime on one of our largest truck programs. Now, let's move on to profitability. AAM continued to deliver strong operating profit metrics. Gross profit was a quarterly record at $331.4 million or 17.4% of sales from the second quarter of 2018. Adjusted EBITDA was $347.9 million in the second quarter 2018 or 18.3% of sales. This compares to $325.8 million in the second quarter of 2017 or 18.5% of sales. You can see a year-over-year walk down of adjusted EBITDA on slide 9. EBITDA grew $25 million as a result of our new business backlog and other volume and mix factors. We also continue to see the benefit of our integration activities as cost reduction synergies improved our performance by $15 million in the quarter compared to the second quarter 2017. This continued year-over-year synergy benefit keeps us right on track to achieve our synergy targets for the MPG acquisition. 2018 is a very exciting new program launch year for AAM, and we continue to incur planned project expenses related to these programs. We experience these costs every year, but they are magnified in this time period due to the size and scope of our launches in 2018. On a year-over-year basis, project-related expenses were approximately $10 million higher in the second quarter of 2018 compared to the second quarter of 2017. As we have previously discussed, we expect project expense to come down in the second half of the year as our launch activity begins to moderate back to normalized levels. We are also experiencing higher freight and logistic costs on a year-over-year basis. While we've been able to mitigate some of these costs through our productivity initiatives, we have realized a net increase. And lastly, as it relates to metal market and FX, we saw our sales increase $39 million on a year-over-year basis as a result of increasing metal market indices and FX related items. The net impact, though, on EBITDA dollars of these items for the same period was only $2 million for the quarter. As we have seen in recent quarters, these two factors did not have a significant impact on our operating profit or cash flow dollars, but they did have a dilutive impact on the margin math, approximately 30 basis points when comparing to the second quarter of 2018 to the same period in 2017. We'll discuss this a little more when we discuss our full-year guidance in a moment. As it relates to restructuring and acquisition related costs, in the second quarter of 2018, we incurred $36.8 million of restructuring and acquisition related cost. Of that, $23.9 million related to non-cash asset impairment charges we recorded as a result of capacity rationalization activities we are performing at facilities in our Powertrain and Metal Forming business units. Of course, these activities today will drive future cost savings and are a part of the cost reduction initiatives we contemplated when we increased our synergy target guidance up to $140 million. We also reported a gain on the sale of our Powertrain aftermarket business for $15.5 million, which was completed in April of 2018. These costs, as well as the gain on the business sale, have been excluded from adjusted EBITDA and adjusted EPS. Let's take a look at SG&A expense. SG&A including R&D in the second quarter of 2018 was $95 million or 5% of sales. This compares to $105.6 million or 6% of sales in the second quarter of 2017. R&D spending for the second quarter of 2018 was $34 million compared to $41 million in the second quarter of 2017. We continue to see benefits in our SG&A costs related to our synergy attainment. We expect SG&A cost to be around 6% of sales for the full year of 2018. Now, let me cover other income and interest. The biggest item to discuss as it relates to other income is the gain on the settlement of a capital lease in the second quarter of 2018. In the second quarter, we reached a settlement agreement related to a capital lease obligation that we have recognized as a result of the acquisition of MPG and, as a result, recorded a $15.6 million gain on the reduction of that liability on our books. While this is a positive development for AAM, this gain has been excluded from adjusted EBITDA and adjusted EPS. Net interest expense in the second quarter of 2018 was approximately $54 million as compared to $56 million in the second quarter of 2017. The decrease in our interest expense is primarily a result of our gross debt pay-downs over the last 12 months. At the end of the second quarter, AAM maintained an 80% fixed interest rate structure and our weighted average interest rate for the second quarter of 2018 was 5.8%. Now, on to taxes. Income tax expense was $2 million in the second quarter of 2018 as compared to $2.4 million in the second quarter of 2017. The low income tax expense for the quarter is primarily the result of a reduction in our tax liability for uncertain tax positions of approximately $20 million for an agreement we finalized in a foreign tax jurisdiction. This gain has been excluded from our adjusted EPS calculation. Adjusting for the impact of this discrete second-quarter item, as well as other special items, our effective income tax rate would have been 12.3%. Year-to-date, our effective income tax rate when adjusting for special items is approximately 15%, tracking towards the lower end of the range we provided at the beginning of the year of 15% to 20%. We continue to expect to remain in this range for the remainder of 2018. Taking all these sales and cost drivers into account, GAAP net income was $151.3 million or $1.30 per share in the second quarter of 2018 compared to $66.3 million or $0.59 per share in the second quarter of 2017. Adjusted earnings per share, which excludes the impact of restructuring and acquisition-related costs, debt refinancing and redemption costs, gain on sale of business and nonrecurring items, including the tax effect, was $1.23 per share in the second quarter of 2018 compared to $0.99 per share in the second quarter of 2017. Let's now move on to cash flow and the balance sheet. We define free cash flow to be net cash provided by operating activities less capital expenditures, net of proceeds received from the sale of property, plant and equipment. AAM defines adjusted free cash flow to be free cash flow excluding the impact of cash payments for restructuring and acquisition-related costs, and settlements of preexisting accounts payable balances with an interest expense payable for acquisition entities. Net cash generated by operating activities in the second quarter of 2018 was $222.5 million. Capital spending, net of proceeds from the sale of property, plant and equipment, was $141.7 million in the second quarter of 2018. Cash payments for restructuring and acquisition-related costs for the second quarter of 2018 were $19.5 million. We continue to expect these payments to be between $50 million and $75 million for the full year of 2018. Reflecting these activities, AAM's adjusted free cash flow in the second quarter of 2018 was $100.3 million. We are right on track where we expected to be midyear as it relates to free cash flow generation and see a very strong second half of the year driven by AAM's continued strong EBITDA generation and seasonal working capital benefits. From a debt leverage perspective, we ended the quarter with a net debt-to-LTM adjusted EBITDA, or net leverage ratio, of 2.8 times at the end of the second quarter. Liquidity at the end of June was over $1.3 billion, and we continue to make great progress and remain right on track for our gross and net deleveraging targets while maintaining ample liquidity for our business. Before we turn it over to Q&A, let me reiterate a few key points about out updated 2018 guidance that we communicated today. David covered the details of the updated guidance that was included in our earnings release, so I will not do that again, but I will be clear about a few points. First, we have updated our sales targets higher based on larger-than-anticipated metal market recoveries and directed by content that essentially are customer pass throughs. Net-net, these additional sales dollars are basically neutral on a profit-dollar basis. So, when you utilize higher sales target to calculate adjusted EBITDA margin, it has a dilutive impact on the margin math. Once you move on from margin math land, this clearly demonstrates AAM's ability to manage certain cost elements and related volatility in a manner very positive for our financial results. Our updated financial targets for 2018 continue to represent record performance for the company and better-than-expected performance compared to our initial targets set back in January of this year. We look forward to generating cash flow, continuing to launch new programs, and delivering results that align us with achieving our goals. Thank you for your time today and your participation on the call. I'm going to turn the call back over to Jason so we can start Q&A.
Jason P. Parsons - American Axle & Manufacturing Holdings, Inc.: Thank you, Chris and David. We have reserved some time to take questions. I would ask that you please limit your questions to no more than two. So at this time, please feel free to proceed with any questions you may have.
Operator: Your first question comes from Brian Johnson with Barclays.
Brian A. Johnson - Barclays Capital, Inc.: Yeah. I just have a little housekeeping around the commodities, directed-buy and then a question on NAFTA. The housekeeping, just two quick things. Can you just clarify directed-buy? Does it mean that you're just getting – sorry, they send you a certain steel mill and you pay the OEM rates, or kind of how does that work? That's the first question.
Christopher John May - American Axle & Manufacturing Holdings, Inc.: Brian, good morning. This is Chris. As it relates to a directed-buy component, this relates to, in particular, some of our commercial vehicle platforms outside of North America. But in this context, think of it as a safety critical item, such as a brake, which was directed by the OEM for us to put onto our components for which they pay us essentially cost plus a very nominal amount just simply to insert that into our assembly process, and then pass that along to them.
Brian A. Johnson - Barclays Capital, Inc.: Okay. And by additional, do you mean it's a bigger portion of your mix, or just the price of those that you're passing through went up because of commodities?
Christopher John May - American Axle & Manufacturing Holdings, Inc.: No. We see just simply higher volume associated with that.
Brian A. Johnson - Barclays Capital, Inc.: Okay. Second question, then, also around the metals is – I get, then, how the sales guide go up, EBITDA dollars stayed flat, which therefore, the percent EBITDA margin goes down a touch. You maintain, now, your adjusted free cash flow guidance, 5%. Is that just rounding because that's an imprecise number, or are there other improvements in free cash flow?
Christopher John May - American Axle & Manufacturing Holdings, Inc.: Yeah. No. Our guidance there is approximately 5%. And if you think about the sales change that we had, it was – 5% of that number is, I would call it – you used the term, rounding, but it's very similar, potentially the same as we were previously.
Brian A. Johnson - Barclays Capital, Inc.: Okay. Second kind of big group sort of a question. We've read in, The Wall Street Journal's read in that – and there was news flow this week coming out of Canada that one potential direction NAFTA could go is around the Trump's administration's demand for 40% of content in NAFTA vehicles being from high wage locations. I guess the question is, kind of how would that affect your Mexican operations, if at all? Have you kind of begun to kind of talk to the OEMs or been involved in that lobbying policy process about how this might work? And if it goes in that direction, high wage content, does it do anything in terms of, for example, the axles going up to Flint, Fort Wayne and Arlington, or the axles that in the future will go to Warren Truck in terms of removing the risk of tariffs on those?
David C. Dauch - American Axle & Manufacturing Holdings, Inc.: Brian, this is David. All of our pricing in the commercial ranges that our customers are based on the current tariff legislation and, if those tariffs are to change, then clearly, we'll have to have discussions with each of the customers, respectively. At the same time, you know that we try to produce our product as close to the assembly plant as possible because of the size of our products. So, we would have to talk to each of our customers about their plant and product loading initiatives, and then we would look to try to align with them as best as we possibly could, but address that appropriately and individually with each of the individual customers. With respect to our voice, yes, we've talked to our customers in regards to their thoughts, but right now, we're not receiving any direction from them at this point in time. They, like us, are really waiting to get clarity on policy. Once they get clarity on that, then we all have to make adjustments. The other thing I would say is that we're members of OESA and MEMA, and – from a supplier community standpoint and they represent and speak on behalf of a lot of the supply base.
Brian A. Johnson - Barclays Capital, Inc.: Okay. Thanks.
David C. Dauch - American Axle & Manufacturing Holdings, Inc.: Yeah. Thanks, Brian.
Christopher John May - American Axle & Manufacturing Holdings, Inc.: Thank you, Brian.
Operator: Our next question is from Ryan Brinkman with JP Morgan.
Ryan Brinkman - JPMorgan Securities LLC: Great. Thanks for taking my questions; a couple on some of the new truck launches. So it seems that GM has quite recently begun the transition to the new T1 full-size program. I know it's early, but how would you assess the launch of this program, so far, based on your earlier experience? What are your latest thoughts in terms of how your volume and margin are likely to track for this important program?
David C. Dauch - American Axle & Manufacturing Holdings, Inc.: Ryan, this is David. We don't see any changes to what we've communicated to you earlier and what's included in our financial projections for the year. We are solidly prepared and ready for the launch and engaged in the launch. Our launch is going well. GM's is going well, also, so we think we're both locked and loaded to have a very successful launch going forward for T1.
Ryan Brinkman - JPMorgan Securities LLC: Okay. And then, the follow-up is on another truck launch. So, at your Investor Day, you listed yourselves as having major AAM content on the Ram 2500 and 3500, and we've understood that for a while. Maybe it's come via more Metaldyne, but you say you have significant content still on the Ram 1500. That vehicle was discussed on Fiat Chrysler's recent earnings call and elsewhere; might be off to potentially more problematic launch than, say, the Silverado/Sierra, which is, as you say, on track. Did that impact your business at all in 2Q, and how should we think about the launch of the Ram impacting your second half versus first half results?
David C. Dauch - American Axle & Manufacturing Holdings, Inc.: Yeah. Any impact on the Ram 1500 series of launches really negligible to our financial performance; at the same time, on the Ram HD launch, that launch is latter part of the year, first of next year between the two organizations. And again, much like GM on the T1XX, we're solidly prepared to support that launch with FCA and in deep communication with them in regards to launch readiness.
Christopher John May - American Axle & Manufacturing Holdings, Inc.: And Ryan, this is Chris. As you know, we called out on our year-over-year sales walk, there was some downtime on the Ram Heavy Duty that impacted our revenue in the second quarter, but that was aligned with their previously communicated change and replace.
Ryan Brinkman - JPMorgan Securities LLC: I see, helpful. And then just, I guess, very finally on program launches and overall, anything to update on e-AAM? I know you've got your first launch this year and any changes to your backlog or customer conversations, et cetera, going forward?
David C. Dauch - American Axle & Manufacturing Holdings, Inc.: Yeah. No changes to the backlog to announce at this time, but we are working on a significant amount of opportunities, as we covered with you all at the Investor Day. We're right in the middle of our launch of our P4 solution in Europe out of our Poland facility to support a luxury European OEM. That's going very well, getting a lot of attention in the marketplace. And we're knee deep in the development and preproduction phase for the launch that will take place in 2020 for the P3 solution.
Ryan Brinkman - JPMorgan Securities LLC: Okay. Very good. Thank you.
David C. Dauch - American Axle & Manufacturing Holdings, Inc.: Thank you.
Operator: Your next question is from Joseph Spak with RBC Capital Markets.
Joseph Spak - RBC Capital Markets LLC: Thanks. Good morning, everyone.
David C. Dauch - American Axle & Manufacturing Holdings, Inc.: Hi, Joe.
Joseph Spak - RBC Capital Markets LLC: First question is on the solid improvement in the Castings business. I think, originally, you were aiming for maybe something like 12-plus in the back half, but I think the improvement has been a little bit better than we expected. So is there any change in the trajectory there or sort of what the – what we could eventually get to in that business?
David C. Dauch - American Axle & Manufacturing Holdings, Inc.: No. Joe, last quarter we were at about 9% from an EBIT standpoint. We had guided that first half of the year we'd be in the 10% to 12% range. We finished at 11.1%, so right in the middle of that range. And the second half of the year, we're expecting continued improvement as we continue to optimize and improve the overall operation. So, everything is still solidly in place to what we communicated to you before.
Joseph Spak - RBC Capital Markets LLC: Okay. And then, Chris, I know you mentioned working capital benefit in the back half of cash flow. It looks like it needs to be pretty sizable. Is there any color you could just give us on cadence between the quarters?
Christopher John May - American Axle & Manufacturing Holdings, Inc.: No. I mean, if you think about – go back to the first quarter, Joe, of this year, sizable working capital consumption as we've cycled up from our sales trend down in the fourth quarter. We've built inventories, again, here in the second quarter as we're entering into launches. So, you will see those items essentially flip through the second half of the year. And generally, especially from a receivables standpoint, heavy collections come in tail-end of the third quarter and into the fourth quarter. And we also have items such as rebillable tooling associated with these large launches that we would collect near the tail end of this year.
Joseph Spak - RBC Capital Markets LLC: Okay. And just finally, so net debt to EBITDA is back below 3, 2.8, less than I guess one turn left to hit your 2 times target by the end of 2019, which you set, I guess, all the way back in 2016. So, now that we're a little bit closer, can you just talk, again, about that target, the confidence of hitting it, and maybe how much we should expect that to come from the denominator versus the numerator?
Christopher John May - American Axle & Manufacturing Holdings, Inc.: Joe, this is Chris. Look, we continue – as we talked about again at our Investor Day, our objective here is to get to 2 times levered by the end of 2019. I would expect we will contribute both to the numerator and denominator. We'll continue to see EBITDA growth as our sales continue to grow, and we'll continue to generate free cash flow that will reduce our net debt. So, we continue to remain very strong and optimistic on that target.
Joseph Spak - RBC Capital Markets LLC: Okay. Thank you.
David C. Dauch - American Axle & Manufacturing Holdings, Inc.: Thanks, Joe.
Operator: Your next question is from Itay Michaeli with Citi.
Itay Michaeli - Citigroup Global Markets, Inc.: Great. Thanks. Good morning, and congrats. Maybe as a first question, just – Chris, I was hoping we could do more of the puts and takes into the second half of the year, things like backlog contribution, perhaps project expense and kind of – maybe even a bias in terms of the range of margins and revenue just given the strength you saw in Q2.
Christopher John May - American Axle & Manufacturing Holdings, Inc.: Yeah. From an EBITDA perspective, I believe is which the focus of this question is, think about some of the puts and takes from that perspective. We'll continue to have backlog launches, continued through Q3 and Q4. At the same time, we also are converting over to the next gen full-sized truck for General Motors. I would expect we'll continue to have a reduction in project expense. Our casting operations will continue – if you think first half, second half, should continue to be strong. And then, we'll continued some synergy step-up as we go through the third and fourth quarter from where we are today, as we achieve our objectives from that perspective. Probably a little bit from a take perspective, obviously, metal drags a little bit on us. As you know and as I mentioned in some of my prepared comments, we got a little, call it, upward pressure on freight costs associated with that; and then, any unusual FX activity, especially as we get a little bit more uncertainty around the globe in terms of FX rates. And those will be kind of the main drivers.
Itay Michaeli - Citigroup Global Markets, Inc.: Great. That's helpful. And then, just as a – a kind of two-part follow-up, first, just any thoughts on the cadence of margins in the second half? And then, also on CapEx, I know you were kind of running, I think, below that 8% in the first half of the year. How should we think about the second half in the context of the full year guidance?
Christopher John May - American Axle & Manufacturing Holdings, Inc.: Yeah. For CapEx, right, just below 8% first half of the year. I would expect that to be pretty consistent over the next couple of quarters associated with that getting closer to that 8% target perspective. And then, in terms of just, in generally, quarters, obviously third quarter revenue will be a little higher than fourth quarter; you got some production days associated with that.
Itay Michaeli - Citigroup Global Markets, Inc.: Okay. Great. That's very helpful.
David C. Dauch - American Axle & Manufacturing Holdings, Inc.: Thanks, Itay.
Operator: Our next question is from Armintas Sinkevicius with Morgan Stanley.
Armintas Sinkevicius - Morgan Stanley & Co. LLC: Good morning. Thank you for taking the question. Earlier in the year, you talked about quoting activity and, historically, you pace at 25% to 30% of that is converted over. Just wondering if you had any color commentary around how the quoting activities were progressing halfway into the year?
David C. Dauch - American Axle & Manufacturing Holdings, Inc.: Armintas, this is David. We said that we've got $1.5 billion of new and emerging opportunities that we're working on right now. We are making very good progress in line with what we said our expected hit rate or win rate would be. We're not announcing anything from a backlog upgrade at this time, but we are winning the appropriate business that we're going after based on our historical hit rate.
Armintas Sinkevicius - Morgan Stanley & Co. LLC: Okay. And then, second quarter, gross margins were quite nice. I know we've had a couple of questions here on margins, but with the launch costs fading, do those trend higher or sort of flat from here as we think of the rest of the year, just launch costs coming off, but then any other puts and takes for third, fourth quarter?
Christopher John May - American Axle & Manufacturing Holdings, Inc.: Yeah. I would think very similar to some of the EBITDA commentary I just previously mentioned as we look into the upcoming two quarters. Our sales, just the back half by nature, lower production days, will continue to decline, project expense will continue to decline. Some improvements, obviously, as I mentioned both our casting operations and our synergies, where previously some of you saw some of our synergy attainment more heavily focus on the SG&A side of the house, which is now converting more into the manufacturing operations side of the house. So that obviously impacts gross profit a little bit. I'm (35:28) those are some of the major puts and takes. But, again, with the second half of the year when you got lower revenues, you get lower fixed cost absorption, which has an impact on margins.
Armintas Sinkevicius - Morgan Stanley & Co. LLC: Got it. Thank you.
Operator: Thank you, gentleman. Your last question comes from John Murphy with Bank of America.
John Murphy - Bank of America Merrill Lynch: Good morning, guys.
David C. Dauch - American Axle & Manufacturing Holdings, Inc.: Good morning, John.
Christopher John May - American Axle & Manufacturing Holdings, Inc.: Good morning, John.
John Murphy - Bank of America Merrill Lynch: Just a first question on R&D, I mean, I think and if I heard this correctly, it was down to $34 million from $41 million last year. That's about a 50-basis point decline relative to sales. I mean, is that something that's just sort of a timing issue or do you think that you've been through sort of a big spend here and you might be able to ease off?
Christopher John May - American Axle & Manufacturing Holdings, Inc.: No. John, this is Chris. You get a little bit of a timing issue with that in terms of cadence with certain programs and projects that the R&D group is working on. You also get a little bit of timing associated with certain customer recoveries in that area as well. It was just timing. We continue to be in that $40 million a quarter range, I would expect in the near term, associated with R&D.
John Murphy - Bank of America Merrill Lynch: Okay. That's helpful. And then, just a second question on asset sales. I mean, is there anything else in the portfolio as you are kind calling through what's going on with MPG and the core company that might be a candidate for an incremental asset sale?
David C. Dauch - American Axle & Manufacturing Holdings, Inc.: John, this is David. Nothing to announce now, but as we said the last call and at the Investor conference, but we're clearly assessing our portfolio, looking at what's core and what's noncore, and at the appropriate time we'll communicate that effectively to the market.
John Murphy - Bank of America Merrill Lynch: Okay. And if I could just sneak one last quick one on the GM truck cadence, traditionally, the SUVs would come right after the pickups, but it looks like pickups are this year, HD is next year and SUVs are 2020. Does that change anything? Does that make it smoother or easier or better or worse for you in the cadence of that changeover?
David C. Dauch - American Axle & Manufacturing Holdings, Inc.: It doesn't really impact us either way. We're in solid position to support all three launches.
John Murphy - Bank of America Merrill Lynch: Great. Thank you very much.
David C. Dauch - American Axle & Manufacturing Holdings, Inc.: Thanks, John.
Christopher John May - American Axle & Manufacturing Holdings, Inc.: Thank you, John.
Jason P. Parsons - American Axle & Manufacturing Holdings, Inc.: Thank you, John. And we thank all of you who have participated on this call and appreciate your interest in AAM. We certainly look forward to talking with you in the future. Thank you.
Operator: Thank you for your participation. This does conclude today's conference call, and you may now disconnect.